 :
Operator: Hello, and thanks you for standing by. Welcome to the Triple-S Management Third Quarter 2014 Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. (Operator Instructions). At this time, I like to turn the conference over to Kathleen Waller with AllWays Communicate. Please proceed Ms. Waller.
Kathleen Waller: Thank you, and good morning, everyone. Welcome to today's third quarter conference call. With us today are your hosts, Ramón Ruiz-Comas, President and Chief Executive Officer, and Amílcar Jordán-Pérez, Chief Financial Officer. Also in the room are Bobby Garcia, Chief Operating Officer, and Liliana Rivera-Corcino, Corporate Controller. I'm sure all of you have heard the Safe Harbor statements before, but we still need to get this housekeeping issue out of the way. Each quarter, Triple-S management executives will provide their current view of the company's future. This means that they will share forward-looking information with you. As you know, these statements can be affected by risks and uncertainties involved in the business. Despite management's best efforts, what actually happens maybe materially different from what you hear on today's call. To get a better understanding of why this may occur, please look at the Safe Harbor section in today's news release and in the company's periodic filings with the SEC. In addition, the information shared on this call should be considered current only as of today. After today, please use this information for your reference only and remember that the company assumes no responsibility to update it. This call is being webcast. Shortly after it ends, you will find an archived version on the Investor Relations page of the company's website at www.triplesmanagement.com. If you don't have a copy of today's news release already, you can either find one on the company's website or you can call me, Kathy Waller, at 312-543-6708, and I will get one to you immediately. In addition, we can always make sure you're on our distribution list going forward. With that, I'd like to turn the call over to Ramón. Ramón, please go ahead.
Ramón Ruiz-Comas: Thank you, Kathy. I want to welcome everyone to this morning call. I will first provide an overview of our third quarter results and then briefly comment on recent corporate development. Amílcar Jordán, our CFO, will then offer greater detail about our quarterly performance. Following our formal remarks, we will answer any questions you may have. Let me start by saying that we are pleased with our consolidated third quarter results, achieving a reduction in the MLR in the commercial sector a continued sequential decrease in our administrative expense and improved margins in the Life Insurance and Property and Casualty segments. The Managed Care segment was affected by higher pharmacy cost and the Medicare sector experienced reduced premiums, stemming from lower risk score revenue. Our multi-prong business strategy proved invaluable once again. We have noted in the past that our diversified business model moves out the viability of our results and lessens our overall risk profile. We post pro forma net income of $8.5 million or $0.31 per diluted share versus pro forma net income of $5.9 million or $0.22 in 2013, an increase of over 40%. As we have discussed in the past, the third quarter is generally characterized by the second-highest utilization in any given year and 2014 was no exception. Overall, the Managed Care segment was affected by higher pharmacy costs. Managed Care also experienced reduced premiums stemming from lower risk score revenue. In line with our strategy, the commercial business continued to post modest membership decline. The Managed Care segment reported operating income of $900,000 versus $7.3 million last year. The Managed Care MLR rose 50 basis points to 87.2%. Notably, the U.S. Virgin Island business MLR declined substantially year-over-year and while still volatile it appears to be nearing break-even. And our introduction of the Blue Cross Blue Shield brand in Costa Rica is off to a great start. We are seeing increased interest and feel very good about this endeavor. The Property and Casualty segment had a solid quarter, contributing $2.3 million to operating income. And our Life Insurance business recorded operating income of $5.7 million, up 50% year-over-year generating a 13.6% operating margin. Consolidated operating revenue amounted to $563.8 million, 3% lower than the prior year. The consolidated loss ratio was flat at 83.3% reflecting the improved loss ratio in the Life Insurance and Property and Casualty segment of 100 points and 220 basis points respectively, offset by the increase in the Managed Care MLR. In previous calls and presentations, I outlined a series of initiatives that are part of our comprehensive strategic review we are undertaking to address the corporation financial performance. Importantly, our effort to reduce our administrative expense to veto [ph] continued to gain traction. Net of the increase in Medicaid expansion cost, as a result of the three additional regions contracted effective October 1, 2013 and regulatory fees effective January 1, 2014, we saw a decline of approximately $7 million in administrative expense year-over-year. Throughout the aforementioned strategic review, we have begun just garnering operating efficiency and addressing organizational change necessary to compete effectively in the evolving healthcare marketplace of the future. As you already know, we have made a conscious decision to sacrifice market share to enhance profitability and to continue to believe that this strategy will produce positive results through the remainder of this year and into next. In our Commercial business, member month enrollment continues to decline. This drop is a reflection of the productive weakness in the island economy, causing net volume reduction in our Group account; a very competitive scenario pressured by shrinking market as well as our account profitability strategy. Initiatives to control overall pharmacy costs, including pharmacy network and formulary review are of critical importance to Triple-S, and this expense line remains a key driver of total medical costs. We continue to see increases in our pharmacy costs, especially in generic drugs. Consequently, we have been revising our pricing and underwriting to account for higher pharmacy and other claim costs. In prior calls, we talk about specialty pharmacy cost management, and our Commercial business has made headway in moving part of the business to our exclusive network. Within MA, we recently appoint Madeline Hernandez, President and CEO of Triple-S Advantage. Madeline, our Senior Executive with 20 years plus years of experience and the majority of our Triple-S in health front operation like reform, Medicare Advantage and Commercial, provided networks and clinical and pharmacy management, succeeds Carlos Carrero, who retired. Madeline's expertise in strategic planning, master budgeting, pricing negotiations, financial reporting and cost analysis will be a key catalyst ensuring our MA operational capabilities. We have the utmost confidence in Madeline's ability. We are concentrating on the pharmacy cost increase that this business has experienced; as well as reviewing the contractual terms with our provider groups, revising our lease sharing arrangements, where necessary and continuing with the transition to a pay-for-performance model, which should be completed by year-end. CMS released Medicare Advantage star rating in early October. While we saw modest improvement overall, we continue to work diligently to achieve the four star rating. Notably, 100% of Triple-S MA members are now enrolled in three star plans effective January 1, 2015. While the star ratings are important as they reflect our performance and quality based performance payment program, no payment plan has achieved a four rating in Puerto Rico. We believe that we have a very competitive product offering as we enter the all-important open enrollment season. On the Medicaid front, we reported last month that Triple-S will select to provide healthcare service for the Metro North and West Regions of the government health insurance program, known as Plan de Salud del Gobierno. The contract will be administered on an at risk basis and will run for a 27-month term beginning April 1, 2015. The program formerly referred to as MiSalud, serves more than 1.4 million members in eight regions across Puerto Rico, with 428,000 members in these two regions. We were pleased to once again be chosen by the Puerto Rican Government to participate in this vitally important healthcare program, leveraging our nearly two decades of familiarity with this patient population. Our experience shows we can deliver high quality, cost-effective care through our well established provider network and still be accretive to earnings. It's important to mention that we will continue to serve the 1.4 million members under our existing contract until April 1, 2015. We remain cautious as we look out over the next two years, reflecting the economic environment in Puerto Rico and the possible effect of previously-announced spending reduction by the local government. This uncertainty along with the impact of all recent legislation, industry regulations and taxes and ongoing pricing pressure in the commercial segment, stemming from heavy competition continue to suggest to us the operating guidance will not be prudent. Regarding capital management and enhancing shareholder value, we announced a $50 million share buyback program, the largest in the company's history. While we will remain prudent and disciplined with our capital deployment plans going forward, we will not hesitate to take advantage of opportunities that are accretive to future earnings. I will now turn the call over to Amílcar.
Amílcar Jordán-Pérez: Thank you Ramón and good morning. Our net income for the quarter ended September 30, 2014, was $4.7 million compared with net income of $18.6 million in the same quarter last year. The decrease of $13.9 million in net income was mainly driven by a reduction in other income due to the extraordinary dividend of $12.8 million net of applicable taxes received by our P&C subsidiary in the same quarter of last year. In addition, the corporation has recognized in the quarter an additional income tax expense of $6.3 million to reflect the accounting impact of the enacted increase in the capital gains tax rate effective on July 1, 2014 on the unrealized gains in our investment portfolio. Our pro forma net income reflects an improvement of $2.6 million when compared to the same quarter in 2013, mostly reflecting improved performance in our life and property and casualty segments. Total consolidated revenues amounted to $567 million, a decrease of $29.6 million or 4.9% year-over-year. This reduction was mostly driven by a $27.1 million decline in earned premiums; reflecting decreases in Managed Care, and Property and Casualty premiums of $8.2 million and $2.4 million respectively. Life insurance premium rose by $3.5 million and ASO fees were up $7.8 million or 35%, mostly in the Medicaid business reflecting the three additional Medicaid regions that came onboard as of October 1, 2013. Gross revenues for the quarter also included gains on sale of securities of $3.1 million. Consolidated claims incurred decreased by $22.6 million during the third quarter. The consolidated loss ratio remained at 83.3%. Quarterly operating expenses were $4.9 million higher than a year-ago, reflecting $7.5 million in health insurer provider fees that became effective at the beginning of this year and incremental expenses related to the administration of the three new Medicaid service regions effective October 1 of last year. To a lesser extent, expenses related to the Atlantic Southern operations acquired last November also contributed to the increase. These increases were substantially offset by the impact of cost containment initiatives implemented since the beginning of the year. Excluding the impact of the health insurer provider fees and the operating expenses associated with the [indiscernible]. Consolidated operating expenses fell approximately 7 million or close to 6% when compared to the third quarter of last year. The consolidated operating expense ratio increased 160 basis points as a result of higher proportion of ASO fees in our revenue base; the reduction in premium revenue and the slight increase in expenses. On a sequential basis, operating expenses decreased $2.6 million, while the expense ratio rose 40 basis points due to the reduction in revenues. I will now focus on a few segment highlights and a brief discussion of the changes to our MLR. Managed Care premiums for this quarter were $463.2 million, down $28.2 million or 5.7% year-over-year, reflecting lower commercial member month enrolment and lower medical risk score revenue partially offset by premium increases in the commercial business. Commercial premium revenues were down $18 million or 7.7% triggered by the reduction in membership. Fully insured and updated commercial membership fell by approximately 11% or approximately 50,000 members over the past 12 months. The membership contraction has largely been reflected in our rated groups, including several accounts in the government sector and individual account products, and reflects both pricing sensitivity and attrition in existing accounts as a result of the Island challenging economic situation, partially offset by slight increases in our metal products. The impact of the lower membership in premium revenues was partially offset by our higher average Commercial PMPM premiums that increased 3.5%, compared to our 2.5% average premium rate increase in the same period of last year. As we mentioned earlier this year, this increase resulted from pricing adjustments to cover insurance and benefits associated with the healthcare reform. Total medical member month enrolment increased by approximately 17,000 members or 5%, from last year, primarily resulting from a higher standalone PDP membership, which carries a lower PMPM premium. Notwithstanding the increasing membership medical premiums were down by approximately $10.2 million due to lower PMPM premiums which were down 8.5% during this quarter reflecting lower risks core revenue that declined in 2014 mandated by CMS and our change in membership mix for this year. Managed Care segment claims for the three months period were down $21.7 million or 5.1% year-over-year. The segment MLR was 87.2%, reflecting a 50 basis points improvement from the same period a year ago. The Commercial MLR for this quarter was 84.6%, 590 basis points lower than a year ago primarily due to favorable prior period reserve developments. Excluding the effect of prior period reserve developments and all related adjustments this metric was down 70 basis points when compared to last year, reflecting primarily the improvement in the U.S. Virgin Islands MLR. The Medicare MLR was 89.4%, 640 basis points higher than last year. Excluding the effect of prior period reserve developments and risk score adjustments, this metric increased by 480 basis points largely reflecting higher pharmacy costs and lower quarterly risk score revenue. Managed Care operating expenses rose $7.2 million from a year ago. As previously mentioned expenses in 2014 reflect the impact of the health insurer provider fees that became effective at the beginning of this year, and the incremental expenses related to the administration of the three new units of the Medicaid program effective on October 1, 2013. Excluding those two items, operating expenses for the Managed Care segment reflected a reduction of $6 million. This reduction reflected results of our cost containment initiatives implemented in 2014. Operating expenses in this segment experienced a slight sequential increase of $800,000 or about 1% and the operating expense ratio increased by 100 basis points, mostly driven by the reduction in premium revenues. Our Life Insurance segment generated operating income of $5.7 million compared with $3.8 million in the same quarter last year. This improvement reflects a 180 basis points decrease in the loss ratio as well as the additional life, cancer and major medical health premium acquired by the Atlantic Southern purchase effective on November of last year. Our Property and Casualty insurance segment achieved operating income of $2.2 million compared with $400,000 in the prior year. The higher Property and Casualty operating income primarily resulted from the segment's improved loss ratio, which went down 200 basis points together we have $2.3 million or a 3% reduction in operating expenses. Consolidated income tax expense increased $2.2 million over last year. This increase reflects a $6.3million tax expense adjustment recorded this quarter. This adjustment reflects an increase in the corporate tax rate on long-term capital gains from 15% to 20% effective on July 1st of this year. Year-to-date cash generated by operating activities amounted to $60.8 million. Our investment portfolio totaled $1.2 billion as of September 30, 2014 with a net unrealized gain of $170 million. Our exposure to Puerto Rico Government obligations amounts to $44.9 million or 3.5% of the portfolio, including $22 million of escrow bonds collateralized with U.S. obligations. At the quarter's end, the net unrealized loss on the Puerto Rico position was $1.1 million. Base claim payouts as of the end of the quarter were 58, a two-day decrease when compared to December 31, 2013. This decrease mostly reflects a slight acceleration of claims payments. We will now proceed to our Q&A session.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions). First question today is from Ralph Giacobbe of Credit Suisse. Please go ahead.
Ralph Giacobbe - Credit Suisse: Just wanted to first start on the Medicaid contract, I guess any help you can give on how you'd expect those margins to ramp in sort of year one versus long-term? And then, will there be startup cost around that contract, and if so, any sense of how much?
Ramón Ruiz-Comas: I would say is, remember that we have the whole island. Good morning Ralph, first.
Ralph Giacobbe - Credit Suisse: Good morning.
Ramón Ruiz-Comas: Remember that we have the whole island, so in terms of I would say starting costs, if there is anything it will be minimal not significant, because we have the whole island right now. So, in terms of profitability I will say the contract established that the profitability that you can have is 2.5% before taxes. So, maybe you will have an idea why the expected profitability that we should have based on the information that we will provide when we release the -- our information about the rates and maximum profitability that a contract could have based on government requirements.
Ralph Giacobbe - Credit Suisse: Okay. Is there any reason to think that would ramp over time in terms of sort of improvement versus being able to possibly get there in year one?
Ramón Ruiz-Comas: I would say our expectation, and I am not giving guidance, but I will say we will continue to work to achieve the amount that we are allowed to get in that business based on the contract terms.
Ralph Giacobbe - Credit Suisse: And then staying on the Medicare contract, you won the Metro North and I guess the West regions. I guess, first, can you tell us how many regions did you bid on?
Ramón Ruiz-Comas: I will say, we look-- taking into consideration the change in the risk model. We look for two regions.
Ralph Giacobbe - Credit Suisse: You just bid on two regions?
Ramón Ruiz-Comas: Yes.
Ralph Giacobbe - Credit Suisse: And then any color, I guess along that point then, anything stand out on why these two regions compared to the other six in terms of whether it's cost trend, maybe economic or demographic profile...
Ramón Ruiz-Comas: Remember that in the cost trends when you bid for that business, you consider the experience that we have. So actually, were two regions that we thought that, we -- remember that, in this contract, one of our objective is to support the Government of Puerto Rico in this Medicaid program, which is very important. So, we thought that we could contribute better to the government, assuming responsibility of these two regions.
Ralph Giacobbe - Credit Suisse: And then can you maybe just talk about any capital requirements under the new Medicaid contract? Do you have to put up...
Ramón Ruiz-Comas: I would say, remember that we have the eight regions. So in terms of the capital requirements, we don't provide that specific information, because, yes, to determine how many regions we could bid for, we consider what was the capital requirements, but we don't provide that detailed information.
Ralph Giacobbe - Credit Suisse: And then just last one here. I'm assuming you're -- in terms of the buyback, I'm assuming you're funding that with cash on hand and I know you don't want to give sort of the specific capital requirements for the Medicaid contract. But any help in terms of whether or not we need to think about whether you need to raise any debt at this point or think about the thought of raising debt around...
Ramón Ruiz-Comas: I will say, maybe the way I will describe it, Ralph, is that we will use the -- we will look for the different alternatives to fund this that we could consider the issue of debt, there are some considerations. But the issue of debt will be gone if it is something that is accretive to the organization, in terms that have more benefits rather than use the proper funds of the company. 
Ralph Giacobbe - Credit Suisse: Okay, if I can sneak one more...
Ramón Ruiz-Comas: So that's something that -- we are open to the different alternatives to fund this repurchase.
Ralph Giacobbe - Credit Suisse: And if I could sneak just one more in. Can you help us think about 2015? I guess first, do you expect to be in a position to give guidance? And then second, maybe give us a sense of where you expect to see improvement and maybe where you see potential for headwinds next year? 
Ramón Ruiz-Comas: I will say -- if you recall, I mentioned before in other calls that my expectation that given the economic situation of Puerto Rico, the economic environment, my thought was that for 2014 and 2015 we were not going to be providing guidance. I will say we eliminate the questions about the Medicaid contract. And as mentioned, we are happy the results now of the amount of regions that we are participating and the financial outcome that is expect to come from that business. However, I will say the situation that the government is working to reduce their operating expense continues to be a challenge in terms of the economy. So, we are positive in terms that based on the strategic review that we have been working; we were able to achieve a reduction in operating expense. We were able to improve; I will say in the Commercial business we were able to improve our performance. And as a matter of fact, the performance in the third quarter was better than we were expecting. We were expecting that there was going to be an increase in the overall MLR, in the Commercial program, which we thought that we were able to decrease the MLR. So the programs that we have put in place have become successful in terms of the achievement that we have up to this moment. In terms of the Medicare advantage, I would say is challenging, remember that we have a lot of competition here. We need to see what will be the result of this month of enrollment. We feel positive with the products that we are -- the products that we are offering. All of them going to be three star rating, which means that none of our members will receive the letter of low performing, I would say. But still then we need to continue to work to identify more promptly the condition of the members in order to be sure that we have the appropriate risk or adjustment, and that's something that Madeline has a 100% of my support and she knows the business and I am counting on her to achieve the results that we are expecting. So that's something that going forward, I will say we have to be cautious because of the economic situation and I will say the reduction in government expense that we expect, but we feel comfortable in terms that the steps that we have made, in terms of the objective that we established for 2014, we are getting the results that we were expecting. Going back, we have been able to impact the operating expense. We were able to improve the life and the property casualty segment. We have been able to improve in the Commercial business. It's going to be tough, but I also rely a lot in Pablo Almodóvar who knows the business a lot. So that's my overview of what we expect for 2015.
Operator: The next question is from Peter Costa with Wells Fargo Securities. Please go ahead.
Peter Costa - Wells Fargo Securities: First, I have a question on the tax rate. If I adjust your $5.4 million tax expense for the $6.3 million tax charge, it looks like you had a net tax benefit of about $900,000 in the quarter. Can you explain what caused there to be a tax benefit and why you didn't adjust your pro forma numbers to reflect that?
Ramon Ruiz-Comas: The reason for that is, this quarter the income before tax of the Managed Care segment is much lower than the one that we had in the previous quarter. And the Managed Care segment is the one that carried the higher effective tax rate. So that causes our results and in terms of the year-to-date income tax accrual for the whole corporation on a consolidated basis. That's the reason why if you subtract the $6.25 million of the adjustment related to the capital gain, that's great. We're reflecting a tax benefit of close to $900,000. Whenever the Managed Care has a higher proportion of the net income or income before tax, you will see a higher effective tax rate for the corporation and the opposite will occur whenever the Managed Care proportion is lower.
Peter Costa - Wells Fargo Securities: So it's going back and adjusting for the fact that your earnings over the course of the year have been more from the other segments as opposed to from managed care, is that correct?
Amílcar Jordan-Perez: Keep in mind that in the second quarter, Managed Care had a significant increase in pre-tax earnings because of the favorable development in the reserve, and the additional increase in revenues in the America advantage because of the final payment of 2013 and the mid-year adjustment. So that had the impact of increasing the tax accrual, because we'd have a higher effective tax rate in the Managed Care segment.
Ramon Ruiz-Comas: But you’re covering, Peter was correct. We continue to adjust the effective net tax rate, as long as if there is any change in the pattern of net income of the segment that has an effect of changing the estimate for the whole year. And as we're close to the year-end, then our estimate is more accurate, because we have, and right now we have already nine months of the 12 months of the year.
Peter Costa - Wells Fargo Securities: Moving onto the Commercial segment, you're seeing the membership drop-off there as you adjust price higher. You're not getting a lot of PMPM price increase, rate increase in terms of your overall rate on the Commercial side. Can you tell me what is causing the drop in members, are you losing members to other customers, are they going into the Medicaid program? Where do you think the members are going?
Ramón Ruiz-Comas: I would say there are two main reasons. One, groups here in Puerto Rico are reducing their number of employees. You have a portion that goes to live to the U.S. so that's one reason. The other part will go to the Medicaid. So the other area is that as we have mentioned in the last call, we have some insurance company that has been very aggressive in quoting for business that we have that has a high loss ratio. And in that case, we have decided that we prefer to lose those clients, because they don't contribute to the profitability of the company. So, high competition and then there is an attrition in terms of employment herein Puerto Rico that are having the effect of reducing the number of members that we have within growth that we maintain as insured.
Peter Costa - Wells Fargo Securities: So, if you could breakdown the lost membership, if you've got any idea where it's gone in terms of sort of those three reasons. Members that are laid off; members that are lost to competitors; and then there's a third thing, perhaps members that just aren't signing up because the costs are too high, so a lower uptake, if you will of the employers that you do have, which of those three is the biggest driver? And can you give us some idea in terms of the size of each of those three?
Amílcar Jordán-Pérez: Yes, Peter about two-thirds of the reduction have to do with a combination of members that are moving to other companies because of aggressive pricing as Ramón mentioned and accounts that are being lost, because the members are not willing to pay their revised premium that we are quoting them. And one-third has to do with the attrition that Ramón also described that has to do with lower employment levels in our accounts that continue to be our customers.
Peter Costa - Wells Fargo Securities: And then talking a little bit about the Medicare and Managed rate. As I look at the adjusted MLR, we're continuing to see pressure there and it's probably continuing pressure in Medicare and Managed rates for the next couple of years in Puerto Rico, in particular. Can you describe what sort of steps you have available to you to adjust for that going forward?
Ramón Ruiz-Comas: I think as I mentioned Peter, one of the things and we have the fortune to have a person like Madeline with us. Madeline understands the Medicare Advantage business. And one of the things that right now she is assessing all the opportunities that we have in order to improve the profitability of that segment and she already have identified that looking at reviewing what is happening with the risk scores and how we can, I would say, assess that member has the proper risk score according to the conditions that they have. That's something that she sees that we have an opportunity. With the retirement of Carlos and Madeline going in, I would say that was something the effort that we put last year in the same quarter was not similar to the effort that we have done this quarter. So that's something that has become a priority with Madeline. Also, one of the things is that I would say, we are working on strategy in order to have more alignment between the provider and the insurance company in terms of the objective. That's something that we are looking for to continue to improve. So they are aligned to the objectives that we have. And we see that, next year, it's going to be tough. But still we see there is good opportunity that we improve over, what we have, this year. So that's something that we are working on. As I mentioned, Madeline is an experienced person that I know, that she will be leading that initiative and that she will be able to perform and execute as we expect.
Peter Costa - Wells Fargo Securities: One last question, if you could, within the Medicare segment. Can you specifically address the pharmacy costs and what you're doing there to control costs in pharmacy?
Ramón Ruiz-Comas: I would say, remember that we cannot change the formulary throughout the year. So as part of the strategy we review the formulary when we submit the bid for Medicare. Also, we are working with the PBM to see how we can improve and then negotiate better prices than the one that we have today. And one of the things is that we are putting them a lot of pressure, because actually we are not the only one that are affected by these increasing prices. And here, in Puerto Rico we have seen that the legislature has become aware of the situation with the pharmacy costs and, actually they're working on legislation to see how they can control those increases. Whether this is going to be effective or not? I don't know, but I think that are the right steps to control the increasing costs that we are having in pharmacy.
Amílcar Jordan-Perez: Peter, just one additional comment regarding that is that the government is currently working on our proposed tax reform and one of the reason for the increase in drugs during this year was a new tax that was enacted that basically applies to gross revenue. So for intermediaries that had a negative impact that they passed to their customers. So at this stage we don't know what the tax reform, what changes will bring. But to extent this tax is repealed that may also provide for some relief in terms of the drug costs for next year.
Operator: The next question is from Carl McDonald with Citigroup. Please go ahead.
Carl McDonald - Citigroup: So big picture question which is, you've been public now for seven years. Over that period of time been a handful of challenges and issues seems like every year there is initiatives to fix it, but at the end of the day earnings doesn’t grow. So the question is at what point do you and the Board start to consider different strategies, something outside the box or something just different than what you've done in the past in an effort to try and get the earnings growing again?
Ramon Ruiz-Comas: I think that maybe, Carl, this is something where we talk about strategic reviews that's something that we are working on. I think that I would say although I always look to improve financial performance there are some things that we don't control, regulation, taxes, that we need to work with. So we are looking to different alternatives even outsourcing of some of the things that we do here in Puerto Rico, where we can see opportunity to reduce costs. Those are the type of initiatives that we are evaluating and the board is evaluating at all times. So, again, I would say the significant share repurchase that we have the Board approve, it's another step in that direction that helps to improve the earnings per share, the EPS.
Carl McDonald - Citigroup: And then some of the more near-term strategies, just first to continue the pharmacy discussion. With the change in the PBM vendor, is it a situation where that change didn't have the impact that you thought that it would, or there were some new things that came up that pressured pharmacy cost?
Ramon Ruiz-Comas: Actually, I'll say the change in the PBM has a very positive impact as we mentioned, what happened was that effective I will say October of 2013, there was a significant increase in the cost of pharmacy drugs that I will say was unexpected. And as Amílcar mentioned, one of the reasons why there was an increase in the cost of drugs was the approved legislation increasing some taxes that affect the cost of the drugs. So that was something that, the objective was achieved and maybe, I want to remind everybody that when we evaluate changes to the PBM, we consider even larger company in the States and the one that we select was the one that provide us best pricing looking things overall. So, their objectives were achieved, but there were things like the increase in cost that is performed by manufacturers and the increase in taxes that was approved by legislatures, that’s something that we cannot control and we are dealing with.
Carl McDonald - Citigroup: And then the last question was just on the Medicare risk score revenue. Is that a situation where the risks core has actually declined this year or just didn't increase as much as some of the competitors?
Ramon Ruiz-Comas: Actually we saw a decline in the third quarter and that’s why Madeline, as soon as she start working in her position that's something that has become a priority to Madeline to see what we can do in order to review the risk score and that they're appropriate and in accordance with a condition of the members.
Operator: There no more questions at this time. I'll turn the conference back over to Mr. Ruiz-Comas.